Operator: Good day and welcome to the Limoneira Second Quarter Fiscal 2017 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. John Mills of ICR. Please go ahead, sir.
John Mills: Thank you. Good afternoon everyone, and thank you for joining us for Limoneira's second quarter fiscal year 2017 conference call. On the call today are Harold Edwards, President and Chief Executive Officer; and Joe Rumley, Chief Financial Officer. By now, everyone should have access to the second quarter fiscal year 2017 earnings release, which went out today at approximately 4:00 P.M. Eastern Time. If you have not had a chance to review the release, it's available on the Investor Relations portion of the Company's website. This call is being webcast and a replay will be available on the Limoneira's website as well. Before we begin, we would like to remind everyone that today's prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. Such statements involve a number of known and unknown risks and uncertainties, many of which are outside the Company's control and could cause its future results, performance or achievements to differ significantly from the results, performance or achievements expressed or implied by such forward-looking statements. Important factors that could cause or contribute to such differences include risks detailed in the Company's 10-Qs and 10-Ks filed with the SEC and those mentioned in the earnings release. Except as required by law, we undertake no obligation to update any forward-looking or other statements herein, whether a result of new information, future events or otherwise. Please note that during today's call, we will be discussing non-GAAP financial measures, including results on an adjusted basis. We believe these adjusted financial measures can facilitate a more complete analysis and greater understanding about Limoneira's ongoing results, particularly when comparing underlying results from period to period. We have provided as much detail as possible on any items that are discussed on an adjusted basis. Also within the Company's earnings release and in today's prepared remarks, we include EBITDA, and adjusted EBITDA which is adjusted to exclude real estate impairment and both of which are non-GAAP financial measure. A reconciliation of EBITDA and adjusted EBITDA to the most directly comparable GAAP financial measures is included in the Company's 10-Q and 10-K, and press release which has been posted to its website. And with that, it's my pleasure to turn the call over to the Company's President and CEO, Mr. Harold Edwards.
Harold Edwards: Thanks John and good afternoon everyone, thank you for joining us. On today's call, I will begin with a brief overview of our financial results for the second quarter of 2017. And provide an update on our progress across all of our business areas. Joe will review the financial results in more detail. Then I will discuss our upward revision to guidance for fiscal year 2017 and then we will open the call and take your questions. I am pleased to announce that we continue to experience positive momentum thus far in fiscal 2017 driven by a number of factors that we will discuss today. In the second quarter revenue increased 35% to $36.9 million compared to the prior year period with substantially all of our crops contributing to the increase. Our operating income for the second quarter improved to $6.2 million compared to $2.2 million in the prior year period. Our adjusted EBITDA more than doubled to $7.8 million in the second quarter of fiscal year 2017 compared to $3.4 million in the same period of fiscal year 2016. Based on the first 6 months of this fiscal year and our expectations for the balance of the year we believe we are well positioned to achieve a better than expected year in our agribusiness division due to improved overall lemon revenue and an improved pricing outlook for avocados. I'd now like to provide an update on our business segments. Starting with our agribusiness, over the past few years we've made significant investments that are beginning to drive our top and bottom line growth. We've expanded our customer base to over 170 customers and increased distribution by leveraging our domestic and international marketing and sales channels during the past few years due to many factors including our trade marketing strategy, consumer facing strategy as well as increasing our packing capacity. Our new packing house in Senate Paul has doubled the annual capacity and increased operating efficiency of our lemon packing operations. Since commissioning the new packing facility, we have realized an increase in our packing productivity measured by the number of average cartons packed per hour. In addition during the first six months of fiscal year 2017, we packed 334,000 more cartons versus the same period last year for $300,000 less cost. This improved efficiency has reduced our year-to-date per carton lemon packing cost. To $6 per carton compared to $7.52 per carton for the first 6 months last year. Our new facility provides capacity for the expected increase production in the coming years from our current non-bearing orchards, as well as an anticipated increase in third party growers that we're actively recruiting to utilize our packing, marketing and sales services. We currently have over 7,900 planted agricultural acres of which approximately 1,500 acres are currently non-bearing lemons and are estimated to become full bearing over the next four years with plans to plant an additional 500 acres of lemons in the next 2 years. We anticipate this additional acreage will increase our annual lemon supply from our current levels by approximately 30% or about $900,000 to $1.3 million additional fresh cartons. As the non-bearing and planned acreage becomes productive. As we previously communicated, we recently completed the acquisition of 90% of the outstanding stock of [indiscernible] which I'll refer to as PDA going forward for $5.8 million in cash plus the assumption of approximately $1.7 million in long term debt. PDA is a privately owned Chilean corporation with 210 acres of lemon and orange orchards located in a major coastal citrus growing region near Las Serena Chile. PDAs assets include a 13% equity interest in a packing and sales operation called Rosales, S.A, which is exclusively utilized for PDA's production. You may recall that we acquired a 35% interest in Rosales in 2014, which brings our ownership in Rosales to 47% with the PDA acquisition. The remaining 53% interest in Rosales will continue to be held by its legacy shareholder who we have known and worked with for many years and who will also maintain his 10% ownership in PDA alongside Limoneira. PDA had approximately $450,000 of net income on approximately $1.9 million in sales for the year ended December 31, 2016. The acquisition of PDA marks an important expansion of our business that is expected to contribute to the execution of our long term goal to expand our agribusiness internationally as the year round supplier of citrus complementing our one world of citrus strategy. Similar to other new acres that Limoneira has recently planted in the United States. Certain of PDAs orchards are young and beginning to enter their prime production making our combined business well suited to address increasing global demand in the years to come. Our international efforts are central to our one world as set citrus strategic initiative. As our lemon business grows, our customers recognize the quality and consistency they receive with Limoneira lemons as well as high levels of service that are fundamental part of our culture. The acquisition of PDA in Chile coupled with our other international relationships and our recent decision to sell Limoneira Arab branded oranges underscores our commitment to being one of the leading global year round diversified and branded citrus agri-businesses. In addition to our fruit grown in the United States and Chile, Limoneira is also managing the marketing and sales function for locally sourced citrus from business partners in South Africa, Chile, Argentina and Mexico. These efforts combine to make us an important and consistent source of fresh citrus apply to our growing roster of global customers. In the long term, we believe vertical integration of international production and marketing combined to maximize our revenue and margin opportunities while smoothing out the seasonality of our business. To that end, we recently announced a key hire in our global sales team that will focus on the eastern US and eastern Canada for both domestic and international source citrus. John Corigliano comes from Chiquita brands where he was director of sales. As the company's One World Of Citrus platform continues to grow, we're building a world class team to enhance our quality of service to our customers. We look forward to John's contributions and welcome him to the Limoneira family. We've achieved meaningful cost savings from our new packing facility but believe we have more room to improve efficiencies as we strive to increase our production from current fiscal year 2017 expectations of approximately 3.3 million cartons of fresh lemons. The operational excellence that we are demonstrating with the realize savings at our packing house is essential to our strategy. But sustainability is core to our culture. The company recently announced the commissioning of a new joint project with Tesla to reduce energy costs. This project will study the efficacy of battery systems paired to solar power generation facilities with the goal of reducing dependence of grid energy during peak usage. Limoneira has a long history of sustainability with 3 solar installations currently in production and look forward to our continued progress towards increasing usage of solar energy. Turning now to our real estate development segment, the partnership between Limoneira and the Lewis Group of companies for the development of harvest at Limoneira is progressing well. The total cash that Limoneira expect to receive over the life of the project will depend on several factors including the median home price and the related lot sales price but with a highly desirable location near the Pacific Ocean we believe that Limoneira should receive between $100 million and $130 million over the estimated 7 to 10 year life of the project which includes $20 million we received from Lewis when the joint venture was formed. During the first half of 2017, we contributed $4.5 million to the joint venture matching Lewis's contribution to fund ongoing development activities. Current project plans indicate that grading should begin during the summer of 2017 and phase one side improvements are scheduled to begin during the fall of 2017. The lot sales process with homebuilders is expected to start near the end of calendar 2017 and closings of lot sales are anticipated to begin in the spring calendar 2018. In addition to the residential aspect of the project, we are also planning the development of approximately 40 acres of commercial property, adjacent to the residential development that is not included in the partnership plans and financial projections, which represent additional cash flow opportunities. Initial interest from potential commercial tenants is very encouraging. The residential and commercial components of the project should create a highly desirable community in crime southern California location. We plan to use the expected future proceeds from the project to reinvest into our agribusiness operations and further solidify Limoneira's position as one of the leading global citrus providers. Regarding our Santa Maria properties, we recently entered into an agreement to sell our Centennial properties for $3.2 million which we anticipate will result in a gain of approximately $100,000 net of transaction costs. We expect the still to close near the end of July after the buyer completes its due diligence. In addition, the company expects to accept an offer on it Pacific crests property for sale price of approximately $3.5 million which is expected to result in a loss of approximately $120,000 net of transaction costs. We recognized a $120,000 impairment on this transaction in the second quarter of fiscal year 2017. The sailor subject to buy due diligence and we expect the sale to close near or October 31, 2017 year end. Now lastly turning to the rental operations segment of our business, this segment is not only a steady contributor to our operating results but is an important component that helps us a consistent supply of labor far agribusiness operations by our workforce housing units, which encompass the majority of our tenants. Our rental unit average near full occupancy and should continue to be a consistent source of positive cash flow for the company going forward. In summary, we're pleased with the great start to 2017. The first half of the fiscal year performed above our expectations and enables us to raise guidance for the second time this year which I'll discuss at the end of our prepared remarks. The recent addition of strategic international assets in Chile, combined with our growing customer relationships around the world is positioning us to become one of the leading players in the global citrus marketplace. And with that, I will now turn the call over to Joe.
Joe Rumley: Thank you, Harold. Good afternoon everyone. I will discuss some of the details of our financial results for the second quarter ended April 30, 2017. Revenue was $36.9 million an increase of 35% compared to the second quarter of 2016. Agribusiness revenue was $35.4 million compared to $25.9 million in the second quarter last year with most of our crops playing a part in the increase. Rental operations revenue was $1.5 million in the second quarter fiscal year 2017, which compares to $1.4 million in last year's second quarter. There were no real estate development revenues in second quarter of fiscal year 2015 or 16. Agribusiness revenue for the second quarter of fiscal year 2017 includes $26.2 million in lemon sales compared to $20.8 million of lemon sales during the same period of fiscal 2016 with the increase primarily a result of higher total lemon revenue and greater volume of fresh lemons partially offset by lower prices for fresh lemons. 958,000 cartons of fresh lemons were sold during the second quarter of fiscal 2017 at $21.5 average price per carton compared to 780,000 carton sold at $22.44 average price per carton during the second quarter of fiscal year 2016. Avocado revenue for the second quarter of fiscal year 2017 was $2 million compared to $1.2 million in the same period last year. Primarily the result of higher prices of avocados partially offset by lower volume compared to the same period of fiscal year 2016. We recognize $4.9 million of orange revenue in the second quarter of fiscal 2017 compared to $2.6 million in the same period fiscal year 2016. Higher orange prices in the second quarter fiscal 2017 compared to the same period of 2016 are primarily due to a combination of more favorable market conditions and higher prices recognized for Limoneira branded oranges. Sales of Limoneira branded oranges which we sell directly to our customers are not reduced by packing service charges incurred with an independent packing house, whereas sales of oranges sold to third party packing houses that are not Limoneira brand and our net of amount the packing house charges to pack and sell our fruit. While the salesman cost structures different preliminary branded oranges compared to non Limoneira branded oranges margins tend to be similar. Specialty citrus and other crop revenues increased to $2.3 million in the second quarter in fiscal year 2017 compared to $1.3 million for the same period of 2016 for similar reasons as our orange results. Costs and expenses for the second quarter of fiscal 2017 were $30.7 million compared to $25.2 million in the second quarter of last year. The increase in operating expenses was primarily attributable to increases in agribusiness costs and more specifically to increases in packing and third party grower costs that resulted from higher lemon harvest and sales volumes which are consistent with our strategy of increasing procurement and sale of third party or group. Operating income for the second quarter of fiscal 2017 was $6.2 million compared to operating income of $2.2 million in the second quarter of the previous fiscal year. Net income applicable to common stock after preferred dividends for the second quarter of fiscal 2017 was $3.4 million compared to $1.1 million in the second quarter of fiscal year 2016. Net income per diluted share for its second quarter fiscal year 2017 was $0.24 compared to net income per diluted share $0.08 for the same period of fiscal year 2016 based on $14.7 million and $14.2 million weighted average diluted common shares outstanding for respectably. Adjusted EBITDA was $7.8 million in the second quarter of fiscal year 2017 compared to $3.4 million in the same period of fiscal year 2016. Regarding our year-to-date results for the 6 months medical 2017 revenue with $65 million compared to $52.4 million in the same period last year. Operating income was $3 million for the year-to-date April 30, 2017 compared to an operating loss of $4.1 million in the same period last year. Adjusted EBITDA was $6.5 million compared to adjusted EBITDA of a negative $1.3 million in the same period last year. Net income applicable to common stock after preferred dividends was $1.2 million compared to a net loss of $3 million in the same period last year. Net income per diluted share for the first six months of fiscal 2017 was $0.08 compared to a net loss per diluted share of $0.21 in the same period of fiscal 2016. With both periods reflecting a weighted average diluted common shares outstanding of approximately 14.2 million shares. The increase in operating results for 6 months ended April 30 2017 compared to the same period last year was positively influenced by higher lemon sales greater volume of fresh lemon sold partially offset by lower fresh lemon prices and cost efficiencies at our new lemon packing facility. Lastly, our new long term debt at April 30, 2017 was $105.5 million compared to $88.2 million at the end of fiscal 2016. Now I'd like to turn the call back to Harold to discuss our fiscal year 2017 outlook.
Harold Edwards: Thanks Joe. As I mentioned at the beginning of our call, we are raising our earnings guidance for fiscal year 2017 based on an expected increase in total lemon revenues and an improved pricing outlook for avocados. We are raising our estimated earnings per diluted share to be in the range of $0.51 to $0.55 a share compared to the previous guidance range of $0.48 to $0.52 a share. We expect our operating income from fiscal year 2017 to be in a range of $14.7 million to $15.2 million compared to the previous range of $14.4 million to $14.9 million. Fiscal year 2017 adjusted EBITDA is expected to be in the range of $21.7 million to $22.2 million compared to the previous range of $21.5 million to $22 million. The company continues to expect to sell between 3.1 and 3.5 million cartons of fresh lemons at an average price per carton of approximately $23 a carton. However, we anticipate total lemon revenues which include sales of fresh cartons lemon by product and shipping and handling revenue to be higher than previously estimated. In addition, we expect a sell approximately 6 million to 6.5 million pounds of avocados at an average price per pound of $1.50 a pound compared to previous avocado sales estimates 8.5 million to 9 million pounds at an average price of $1 per pound. As you know, our quarterly earnings typically, very considerably quarter-to-quarter due to the crop harvest timing in production. Regarding the cadence of how we expect this year's quarterly earnings to play out, the third quarter is expected to be similar to year excluding last year's gain on sale of Calavo shares and the fourth quarter slightly softer than last year. We are well positioned to capitalize on opportunities that we have been cultivating over the past few years and we continue to look for additional opportunities that lie ahead. And with that, I'd like to open the call up to your question. Operator?
Operator: Thank you. [Operator Instructions] And we'll take our first question from Gerry Sweeney with ROTH Capital.
Gerry Sweeney: Good afternoon, Harold and Joe. How are you?
Harold Edwards: Good afternoon.
Gerry Sweeney: I wanted to talk a little bit about the agribusiness and the lemons and the byproducts side. It sounds like in the guidance you were targeting better revenue from that perspective but it also seems like in this quarter lemon byproduct was lower and you packed more into the fresh carton side. And I was just curious as to the dynamic that's going on there obviously would like to see more into the fresh carton side and want to see where the trend was going and sort of triangulate that a little bit.
Harold Edwards: Sure. So your observation is correct. We actually have been doing a better job this year at getting more fresh cartons sold and less of the product going into the juice of byproducts market. So that's been very positive and we believe that trend is continuing as we've discussed on prior calls. There are three different grades of lemons and 8 different sizes. And where the fresh utilization percentages can really increase is when we have better success selling our off grade and our off size lemons are fresh. And so it's fancy choice and standard are the 3 grade. And where the action takes place that really increases are fresh realization is in the standards and if we can create more market opportunities and cultivate more customers that will buy our fresh standard cartons. Then our fresh utilization goes up significantly. And through the first half of this year that's exactly what's happened.
Gerry Sweeney: Got it. That's helpful. And then on the third party packing obviously that's a critical part of sort of leveraging some of the fixed cost at the packed house on a go forward basis. Targeting 500,000 cartons a year increase how is that going this year so far?
Harold Edwards: That's going right on right on track for us right now. We finished, as you recall we finished 2016 with 2.9 million fresh cartons of lemon sold. We continue to guide in a range of 3.1 million to 3.5 million cartons for this year. At this moment I believe we will be somewhere between 3.3 million 3.10 is really and 3.4 million cartons and the delta is really explained by the increase of outside growers. So I think we're right at to slightly above the 500,000 cartons that we set out to sign off this year.
Gerry Sweeney: Got it and then finally just a quick comment. Growing cost sounds like you're going to do some more plantings this year, next year would that have a material impact on growing cost that we should be looking at in terms of modeling?
Harold Edwards: Typically not on the P&L. The typically get capitalized until.
Joe Rumley: Well, growing costs can -- they start to kick in when you harvest them. So they are in the range of about $5 or $4 a carton as they sell. Starting to elude some of those planned things will be in areas that we capitalize part of the year and expense during production part of the year. So yes if think about at least in broad general terms as we bring some of that fruit to production and start to sell it you could consider those variable and you would see an increase but there certainly obviously the sales will cover that --.
Gerry Sweeney: Got it. Perfect. Okay, I'll jump back in life appreciate it thank you.
Harold Edwards: Thank you, Gerry.
Operator: We'll go next to Eric Larson with Buckingham Research Group.
Eric Larson: Yes, thanks. Good afternoon everyone. Thanks for taking my questions. Just a quick follow-up question Gerry just asked. And better fresh utilization of your lemons being able to sell more of your off grade off size as fresh is it a different customer base that you are having Harold or is it a different sales efforts or is it off grade off size, not so off grade off size this year that is actually - it's a better product or what's causing the change?
Harold Edwards: Yes. Now that's a great question Eric and the answer is all three of the reasons you cited. Which are the three reasons; a little bit of new segments, segmentation in the markets working with the various types of buyers, so what Limoneira has really been putting a lot of effort in the marketplace is going after sometimes non-conventional uses of lemon. So for instance as a natural cleaner, for health and beauty, or as a garnishing a drink typically which is how they use it also in conventional cooking and in culinary uses and so we tend to you drive approximately 70% of our total sales into the food service arena. And that's really where we have our biggest opportunity to sell the standards because if you think about how a food service buyer might use lemons typically the esthetic look on a lemon sometimes it less important because you're using the lemons for that use where as a retail buyer might be more apt to buy a much higher quality looking lemon because it's going to be sold retail and that's very important to consumer. So that's certainly part of it, but the last part that you alluded to, we also have a different set up this year where there's not as much fruit in the marketplace. And when you have less fruit creating less competition, it creates a better opportunity for all of us to sell the off grade and off sizes at better values and doesn't require us to sell as much as in the juice of products market.
Eric Larson: Okay. That helps. So even though you're able to sell those - first of all sounds like that might be a more sustainable trend so that you're over time your percentage of fresh utilization to total will actually will actually rise by several hundred basis points. I mean it sounds like that's a positive. But the other thing is that your lemon pricing is actually down in the quarter. So if you have a tighter fruit market, I guess I would have expected to see your lemon pricing a little stronger.
Harold Edwards: But you just touched on the reason it was down, the reason it was down is the market overall is the same or up, but we're selling as a percentage more of that off grade and - so the average price is down but we're selling a lot more. If you run the algorithm of all that I just said, you actually will see that our overall profitability is considerably up.
Joe Rumley: That was, I just wanted to make sure those dots were connected and it's really a mixing issue on your pride but you're selling more as fresh and it's just isn't much more profitable of proposition.
Harold Edwards: That's it. And when you are able to run those additional units over are now much more efficient packing house with net-net total profitability really starts to get into attractive ranges.
Eric Larson: Makes perfect sense. Let me just shift and I will pass it on here. I am going to shift to one other question. Guidance on avocado volumes, obviously your volume is down quite a bit more than what your previous guidance was. I'm guessing that's all because of the -- production the trees are in their off year I'm assuming that that's it. Is there a weather related issue too or no, what is cause for the significant volume decline?
Harold Edwards: Yes, it's a great question. Really this is the art of growing avocados. So if you look at the actual percentage from our previous guidance at 8.5 million to 9 million pounds down to 6 million to 6.5 million pounds, we're in the 23% reduction range. And if you think about the way that avocado size, and so the size of an avocado is related to how many pieces of fruit at a certain size create a 25 pound box of fruit. And so on the differential in the size of a 60 count box of fruit versus a 48 pound box of fruit -- 48 piece box of fruit is about that 20% the 23%. So really what's going on here is by. Harvesting the way that we believe we're going to harvest for the rest of the year we're actually anticipating selling smaller fruit and not leaving it on the tree as long as we originally thought we might and that's all driven by what we believe is going to be significant market pressure later on in the year from Mexican fruit that should come into the market pretty heavily starting in August. So as a result of all that we're anticipating smaller fruit which translates into fewer pounds which is why we've lowered the per-pound estimate in total.
Eric Larson: Is this year you're pushing your crop further forward last year you pushed it further backward to take advantage of a potential market advantage pricing, this year it's just the opposite.
Harold Edwards: That right. Now, it's all speculative and so we've tried to guide conservatively thinking what we think the size of the fruit is going to be. We won't really know obviously until we actually harvest it. But we've tried to guide conservatively at less volume, but we continue to believe that the market opportunity is very strong from a pricing standpoint so that's why we've chosen to guide the way we've done it.
Eric Larson: Okay. That makes sense. I'll go back into the queue and maybe we'll catch up a little bit later. Thanks.
Harold Edwards: Thanks Eric.
Operator: We'll take our next question with Aaron Steele with Feltl and Company.
Aaron Steele: Hi guys, thanks for taking the call. Just wondering if you could comment a little bit on what might the impact be from the stay being lifted on the Argentinean lemon imports. Just wondering what maybe impact they'll have for pricing and then when are we likely to see that impact come through?
Harold Edwards: So that's a great question Aaron. Thank you. I believe that this summer we'll seem very very minimal about of Argentine fruit enter the US market. There are pretty strict protocol requirements that the Argentine growers will be put through in terms of the type of fruit that they'll allow to be harvested and specifically they're mandated to harvest green fruit and then it needs to be packed immediately fresh after it's harvested. And so as a result growers that weren't going through the strict protocols for their production this year to hit that opportunity, they're going to be eliminated from the option to ship this summer. So I don't think there's going to be a lot of fruit that comes in from Argentina this summer. But looking forward at future shipments, this would've been the perfect year to have more Argentine fruit rather than less and the reason is that the California fruit in district two which is where we are on the coast in those harvest. You're going to get very very tight to nonexistent towards the end of July. We're going to basically be out of fruit. Strategically, that's going to - that bodes very very well for Limoneira acquisition of out of Chile. So our Chilean fruits going to complement our Coastal California fruit very nicely and create a seamless supply chain for us in the US market. Have that argentine fruit been available and been ready to come into the market that would have been a ready market for it and it would not have been disruptive at all. In the future, I anticipate that similar situations will take place I think the Argentine fruit will really start to show up into the market probably somewhere around June, sort of June, June-July-ish. It'll become heavier in the East Coast markets, all of the shipments that come from Argentina require to land on the East Coast. That doesn't prohibit them from coming West, however when you put the freight bill coming from the East Coast to the West Coast it really gets prohibitively expensive for them to make their way out to the West Coast. So I believe it's really Mississippi River east for the market for Argentine fruit. I anticipate shipment somewhere in the 1 million to 1.5 million carton range. And I think as long as the handlers remain discipline in how they manage their Argentine sources, their Chilean sources and their US sources this won't be disruptive at all and we'll create a great opportunity for all of us to collectively clip grow the market together.
Aaron Steele: Alright. No, excellent that's good information. Maybe switching over to real estate, you gave a pretty good timeline I guess but what should we kind of expect going forward in terms of getting more details on some of the home builder commitments when are we likely to see some of those and actually get the detailed financial expectations and some of the milestone payments that you might see coming from there. So just wondering, if you could provide some more clarity on the real estate and the timeline there?
Harold Edwards: So from a permitting process standpoint, we have one last hurdle that we're working on clearing which we believe we'll clear in the next month or two that will then allow us to pull the grading permit that will allow the grading to begin. Lewis is having meaningful meetings with a whole host of home builders. They remain cautious at this point until the grading permits have been pulled and so that'll be the next real milestone that will be able to communicate and so it is our hope that by the next call the next queue that we'll be communicating that those grading permits have been pulled and that we're actively grading and at that point Aaron I'm hopeful that we'll have a little bit more specific information on some of the home builders that have expressed interest. I can't really say whether we'll have any deals cut. Joe do you have any thought on that?
Joe Rumley: Yes, I think going back to the timing as we start to engage with the home builders and start that pricing and sales process. Until we really get into it, this will be the first round et cetera. So we really need to see how that initial entrance starts to come in. Engage the interest and the volumes and how many builders and what types of models and we all have that planned out and contemplated. But until you actually start getting people signed up and that's what I think we need to start having similar timing we mentioned and I think we'll start seeing better ideas that will help us better articulate some of the financials and the metrics.
Harold Edwards: Yes, I would anticipate that by the fourth quarter we would have some clear views on who some of the builders, we may not know who all of them are but we most certainly will have an idea on some of them and it would be my expectation that we would have taken some deposits down at that point and had some commitments ready to announce and communicate.
Aaron Steele: Alright. Perfect, I appreciate the clarity there. That does it for me. Thanks guys.
Harold Edwards: Thanks Aaron.
Operator: We'll take our next question from Chris Krueger with Lake Street Capital Market.
Chris Krueger: Hi good afternoon, nice quarter.
Joe Rumley: Thank you, Chris.
Chris Krueger: You went over you cadence with third and fourth quarter. Were you referring to EPS?
Joe Rumley: Well, all of it of course it's just kind of the timing of the - EPS revenues and all obviously goes together.
Chris Krueger: Alright. Then then new packing facility, you talked about lemon cost per carton declining to $5.99 to $7.39 do you have like an internal goal for how low you think that can go?
Harold Edwards: We do. It is volume driven Chris. So our success at recruiting outside growers fruit, but also our success in bringing on our non-bearing fruit becoming bearing is going to play into that significantly. So our goals internally are not only cost related but also packing charge or revenue related as well so we try to look at holistically on a margin level. And we have goals of being in the $2 carton range on those margins.
Chris Krueger: Okay. And then what's the utilization rate right now for that facility?
Joe Rumley: Well, question - can pack 3.3 or so million and it can pack 8 is that what you are asking about? It was close to was that 40% or so.
Harold Edwards: Here is what the challenge of answering what the true capacity is in order to hit optimal or maximum capacity you would have to be 52 weeks of constant packing supply, if they had throughput and so a big part of what our challenge is going to be as we grow is to make sure that we're balanced in when that fruit comes in so it doesn't inundate us at some time in the year and then leave us sort of slower and other times of the year. So that's another part of it, that's going to be going to be tough to balance out perfectly. So 8 million is really the theoretical sort of capacity, but 7 million is probably the more practical capacity if that makes sense. So we're nearing 45% to 50% capacity utilization today.
Chris Krueger: Okay. That's all I got thanks.
Harold Edwards: Thank you.
Operator: That concludes today's question and answer session. At this time, I will turn the call back to Mr. Harold Edwards for any final remarks.
Harold Edwards: Thank you very much for your questions and interest in Limoneira. We look forward to updating you again in September on our next quarterly call. Thank you again and have a great day.
Operator: This does conclude today's conference. Thank you for your participation. You may now disconnect.